Operator: Good day, and thank you for standing by. Welcome to the Aegon Second Half 2023 Results Call. [Operator Instructions] Please note that today's conference is being recorded. I would now like to hand the conference over to your speaker, Yves Cormier, Head of Investor Relations. Please go ahead.
Yves Cormier: Thank you, operator, and good morning to everyone. Thank you for joining this conference call on Aegon's second half year 2023 results. My name is Yves Cormier, and I'm the Head of Investor Relations. Joining me today are Aegon's CEO, Lard Friese; and CFO, Matt Rider, to take you through the highlights of the year, our financial results and the progress we are making in the transformation of Aegon. After that, we will continue with a Q&A session. Before we start, we would like to ask you to review our disclaimer on forward-looking statements, which you can find at the back of the presentation. And on that note, I will now give the floor to Lard.
Lard Friese: Good morning, everyone, and thank you for joining us on today's call. I will run you through our strategic and commercial developments before handing over to Matt, who will run through the financial results in more detail. Let's move to Slide number 2 to review our achievements in the second half of 2023. 2023 was another important transformational year for Aegon. During the year, we completed the transaction with ASR, initiated a significant share buyback program, reduced our gross financial leverage, presented our ambitions for the coming years at our Capital Markets Day last June and moved our legal set-up to Bermuda. At the same time, we have remained laser-focused on improving returns from our businesses and generating value for shareholders, which we will continue to do. The second half of 2023 saw Aegon maintained commercial momentum, mainly driven by the strong performance of our U.S. business. We have exceeded our financial commitments for 2023 and remain committed to our targets for 2025. I'm very proud of everything the teams have achieved in 2023, and I'm grateful for all of their hard work during the year. We will continue to work hard executing our strategy in 2024 and I am optimistic about our prospects. In the second half of 2023, operating capital generation before holding funding and operating expenses was 16% higher than in the same period of 2022. Earnings on in-force rose by 16%, driven by business growth in U.S. strategic assets and management actions we have taken on the financial assets. Over the full year 2023, operating capital generation before holding funding and operating expenses was 14% higher than 2022 at nearly EUR1.3 billion, well above our guidance. The IFRS operating result decreased to EUR681 million in the second half of 2023, due in part to the impact of management actions we have previously taken as well as several favorable onetime items in the previous year. Shareholder's equity per share has remained stable despite the significant distribution of capital to shareholders. The capital ratios of our units remain strong and well above their respective operating levels. Furthermore, cash capital at the holding amounted to EUR2.4 billion, well above the operating level despite reducing leverage by EUR500 million in the fourth quarter and making good progress executing the EUR1.5 billion share buyback program. At the end of last week, we have completed 76% of this program, which means we have already returned more than EUR1.1 billion to stockholders through this program alone. In addition, our strong commercial performance, together with the important steps we have taken to realign our company, have given us a solid foundation on which to sustainably grow our dividend per share. We have increased the proposed final dividend for 2023 to EUR0.16 per share. And subject to shareholder approval, this would bring our full year dividend to EUR0.30 per common share, up more than 30% compared with the 2022 and in line with our guidance. Let's turn to Slide number 3 to discuss the commercial results of our units. Starting in the Americas, one of the two focus areas in our U.S. Individual Solutions business is World Financial Group or WFG, our life insurance distribution network. Let me remind you, our ambition is to increase the number of WFG agents to 110,000 by 2027, while at the same time, improving agent productivity. Momentum has been strong throughout the year. During 2023, the number of licensed agents has increased by 18% compared with year-end 2022 to nearly 74,000. In addition, the improvement in Aegon productivity is a priority for us. The number of multi-ticket agents, which are agents selling more than one life policy over the last 12 months has increased by 12% compared with a year ago. Transamerica market share of life insurance products sold by WFG in the U.S. remained high at 64%. This is due to the consistent service experience we deliver to WFG agents, combined with the tailored products we manufacture for WFG by the field to middle market consumers are key demographic. Let's move to Slide number 4 and I will address the second focus area of our U.S. Individual Solutions business, Individual Life Insurance. Here, we are investing in both product manufacturing capabilities and the operating model in order to position the Individual Life Insurance business for further growth through WFG and third-party distributors. Commercial momentum was strong throughout the year. New life sales increased by 13% compared with 2022, largely driven by higher indexed universal life sales. Importantly, we have been able to maintain the profitability of new sales, achieving internal rates of returns in excess of 12%. Increased sales of individual life insurance in 2023 led to an increase in new business stream up 10%. Business growth was also the main driver of the 31% increase in earnings on in-force compared to the full year 2022. Slide number 5 addresses the progress we have made in the U.S. Workplace Solutions Retirement Plans business. Transamerica aims to increase the earnings on in-force from its Retirement business by leveraging its capabilities as a record keeper with the ambition to materially increase the penetration of ancillary products and services it offers. During 2023, commercial results were strong in our focus area of midsized plans. Here, written sales rose by 72% compared with 2022 and net deposits amounted to $1.2 billion in 2023. We also saw good growth in ancillary products such as the general accounts stable value product as well as in individual retirement accounts. This is in line with our strategy to grow and diversify our revenue streams. The decrease in earnings on in-force of our strategic assets in the Retirement Plans business was driven by higher expenses, largely related to increased employee and technology expenses. Let's move on to the United Kingdom on Slide number 6. We continue to make good progress on our strategic agenda of investing and growing our platform activities. From a commercial perspective, the year has been characterized by two different trends. The workplace channel showed strong commercial results throughout 2023. Net deposits in the workplace channel amounted to GBP1.8 billion in 2023. However, if we exclude the exit of a single large and low-margin scheme in the third quarter, the net deposits would have amounted to GBP2.7 billion in 2023. The solid net deposits in the workplace channel reflects inflows from the onboarding of new schemes as well as higher net deposits on existing schemes. We expect this trend to continue. In the retail channel, on the other hand, commercial results continue to be hampered by the current macroeconomic environment, which has negatively impacted investor sentiment across the industry. Net outflows in the retail channel amounted to GBP3.1 billion in 2023 and explain in part the overall GBP16 million of annualized revenues lost on net deposits in the year. The remainder is due to the impact of gradual runoff of the traditional product portfolio, partially offset by revenue gains on net deposits in the workplace channel. On Slide number 7, I want to address the growth markets where we continue to make steady progress. New life sales in our growth markets increased by 18% compared with 2022 with good growth in both Brazil and China, offsetting weaker sales in Spain, in part due to a divestment there in the previous year. Over the same period, non-life new premium production increased by 15% as weaker demand for property and casualty products was more than offset by growth in accident and health insurance. Operating capital generation in the International segment excluding TLB, increased by 8% in 2023 compared to 2022 as a result of business growth and more favorable new business strain. I'm turning now to Slide number 8 to comment on our Asset Management. Market conditions have been especially challenging for fixed income-focused asset managers such as our Global Platforms business, as interest rates rose in 2022 and '23. In the latter months of 2023, however, interest rates stabilized and commercial results have improved, especially in the fourth quarter. For instance, in our mortgage funds. In addition, we are benefiting from the new asset management joint venture with ASR as well as the other strategic initiatives we have undertaken recently. Net outflows in our global platforms amounted to EUR600 million for the full year 2023, but they were negligible in the second half of the year. In the Strategic Partnership segment, net outflows amounted to EUR2.8 billion in 2023. The La Banque Postale Asset Management joint venture experienced net outflows mainly due to the departure of a low-margin business of a former shareholder. Meanwhile, in the joint venture, AIFMC, net outflows were driven by continued weak investor sentiment in China. These unfavorable market conditions and net outflows drove the decrease of operating capital generation in '23 compared with the year before 2022. Now, I hand over to Matt to discuss the financial performance of Aegon in more detail, starting on Slide number 9.
Matt Rider: Thank you, Lard. Good morning, everyone, and thanks again for joining us today. Let me start with an overview of our financial performance over this last half year, beginning on Slide 10. In the second half of 2023, the IFRS operating result decreased by 32% compared to the prior year period to EUR681 million mostly driven by the performance of the U.S. The operating result, however, should be interpreted in combination with other movements in the balance sheet under IFRS 17, such as the CSM and shareholders' equity. On a per share basis, shareholders' equity has remained stable over the period despite material distribution of capital to shareholders. At the same time, we are seeing good results in the financial metrics on which we primarily steer the business. First, our operating capital generation before holding funding and operating expenses increased by 16% over the second half of 2023, coming in at EUR660 million. This brings the full year amount to EUR1.3 million above our guidance. Free cash flow was strong as well in the second half of 2023, amounting to EUR429 million following the receipt of planned remittances from all units. Cash capital at the holdings stood at EUR2.4 billion at the end of December 2023. Proceeds from the ASR transaction and the remittances from the units were partially offset by capital return to shareholders and the redemption of a EUR500 million matured senior bond. This redemptions means that we have also achieved our target of having a gross financial leverage of around EUR5 billion. The group solvency ratio decreased by 9 percentage points since the end of June of 2023 to 193%. The impact of the ASR transaction associated share buyback and the incorporation of our stake in ASR were in line with the guidance we had previously provided. This was in part offset by capital generation as well as the beneficial impact of the U.K. solvency reform, which is reflected in our group solvency ratio. Let's now move to the operating results on Slide 11. The group's operating result was EUR681 million, a decrease of EUR32 million compared with the prior year period. In the U.S., the operating result decreased by 39% over the same period, reflecting both the impact of management actions and the fact that the prior period included several nonrecurring items. In the U.K., the operating result decreased by 12%. This decrease is mainly a consequence of the sale of the protection business to Royal London, which has reduced the release of CSM. The operating result of the noninsurance fee business was negatively impacted by inflationary pressure on expenses. In our International segment, the operating result decreased by 10%, predominantly as a result of a nonrecurring benefit in TLB in the second half of 2022. The operating result from Aegon Asset Management increased by 3% compared with the same period of 2022. This was driven by the expansion of the LBP asset management joint venture. Finally, our holding or group center reported a negative result of EUR72 million, which mainly reflects funding and operating expenses. The operating result improved compared with the second half of 2022, driven by higher returns on cash capital at holding and an unfavorable onetime item in the previous year. These expenses should increase next year as the return on cash capital will decrease and the funding expenses will likely increase in a higher interest rate environment. On the next slide, number12, let me give you more background on our U.S. operating results. The operating results of the U.S. amounted to $519 million in the second half of 2023 and was impacted by unfavorable claims and policyholder experience. There are a few points worth noting on the experience variance. First, the experience variance of $39 million on expenses included about $25 million of recurring expenses, which we will report in the line other insurance results going forward. Second, claims and policyholder experience was unfavorable at $210 million. It notably included negative mortality experience variance of $91 million. The unfavorable mortality development can be attributed to both a few claims with unusually large face amounts and the fact that mortality on retained lives was a bit higher than expected. We are still coming out of the COVID-19 pandemic. And as we saw this quarter, the mortality was unfavorable compared to our long-term best estimate assumptions. We could, therefore, observe similar developments in the coming periods, but the experience variance should progressively average out to around 0 over time. Third, there were some new onerous contracts, as you would expect in the normal quarter, these amounted to $12 million. On a separate note, the insurance net investment result of $200 million decreased compared with last year's second half, notably reflecting the impact of management actions on asset levels and an increase in interest accretion on liabilities. The result in the second half of 2023 included a $28 million nonrecurring benefit following a methodology update regarding interest accretion in variable and fixed annuities. Slide 13 shows the net results over the second half of 2023. Non-operating items amounted to a charge of EUR495 million, driven by realized losses on investments in the U.S. This was driven by the sale of assets related to the reinsurance of the universal life portfolio to Wilton Re as well as by asset sales intended to preserve existing tax benefits. Fair value items resulted in a gain of EUR65 million during the second half of 2023. Gains from hedges in the U.S., mostly related to variable annuity dynamic hedging and in the holding more than offset negative results, edge results in the U.K. and a loss on fair value investments in the U.S. related to the underperformance of alternative investments. Other charges amounted to EUR270 million in the second half of 2023. This is driven by the U.S. where other charges amounted to EUR387 million or $488 million. These included $278 million of model and assumption updates. These were mainly from the fourth quarter expense assumption review, the impact of which was almost fully offset by an increase in the CSM. The remainder of the charges in the U.S. was comprised of $129 million in restructuring charges, investments related to the life operating model and an adjustment to litigation provisions to account for settlements in the second half of 2023. These charges in the U.S. were notably partially offset by EUR155 million of other income related to our stake in ASR. On Slide 14, I want to talk about the development of Aegon shareholders' equity in the second half of 2023. Here, you see the total comprehensive income amounted to a positive EUR445 million, thereby increasing shareholders' equity. This is due to the fact that realized losses on bond sales in the U.S. are offset completely in other comprehensive income. After taking into account the capital returns through share buyback program, the payment of the interim dividend and interest paid on the debt, shareholders' equity decreased by EUR700 million -- to EUR7.5 billion over the second half of 2023. On a per share basis, however, shareholders' equity remains stable over the reporting period at EUR4.27 due to the reduction in share count from share buyback program. I'm now moving on to talk about the CSM development on Slide 15. The CSM at the end of the year 2023 amounted to EUR8.3 billion and remained stable compared with the level at the end of June. The growth of our U.S. strategic assets, CSM and the decline of our U.S. financial asset CSM, were the two largest developments. Both reflect our strategy to grow strategic assets and to reduce financial assets. I'll come back to the U.S. in a moment. Outside the U.S., the main driver of the CSM was the U.K. business. Here, the CSM increased by EUR65 million in the second half of 2023. The release of CSM, mostly from the traditional book and an unfavorable experience variance was more than offset by the favorable impact of assumption updates in markets. It is important to note that our focus in the U.K. is on platform activities, which are not accounted for anymore under IFRS 17 and therefore, do not have a CSM balance. On Slide 16, I will discuss the dynamics of our U.S. CSM in more detail. On the left-hand side of Slide 16, you see the CSM roll forward for our U.S. strategic assets. Here, the CSM increased about $600 million compared with the end of June 2023 to $2.8 billion. New business contributed about $200 million, driven by sales in index universal life policies and more than offset the release of CSM. Experience variance in the strategic assets was overall favorable from favorable policyholder behavior. The expense assumption update had a significantly positive impact on the CSM. This update reflects the future benefits we anticipate as we implement our improved life operating model. During the second half of the year, there was an increase in the risk adjustment that was primarily driven by the loss of diversification due to the sale of Aegon the Netherlands to ASR. This is an offsetting impact on CSM. Moving now to the right-hand side of Slide 16. The CSM balance related to our financial assets decreased by about $700 million compared with the end of June 2023. The update of our expense assumptions had an unfavorable impact as did claims and policyholder experience variances. The unfavorable in-force update of the risk adjustment was offset by interest accretion on the CSM together with markets and a favorable impact on the variable annuity book, which is accounted for under the variable fee approach. Finally, other movements reflect mainly the impact of management actions on the CSM such as the reinsurance of the universal life portfolio to Wilton Re. Let me now turn to operating capital generation on Slide 17. Operating capital generation before holding funding and operating expenses increased by 16% compared with the second half of 2022 and amounted to EUR660 million. Earnings on in-force, excluding holding expenses increased by 16% over the same period. This was driven by Transamerica and reflects the growth of our strategic assets and the impact from previous management actions on our financial assets. Our U.S. claims experience was comparable with that of the second half of 2022 and therefore not contribute to the increase. New business strain decreased by 9% compared with the prior year period. Higher strain in the U.S., in line with our ambition to drive profitable growth in our U.S. strategic assets, was more than offset by lower strain in the U.K. and international. In the U.K., the lower new business strain was driven by the sale of the protection book and a change in business mix. The release of required capital was 14% lower than the same period of 2022, which was mainly the result of a onetime additional release from a contract discontinuance in the U.S. at the end of 2022. There is a significant difference in trends between the operating capital generation and the IFRS 17 operating results. Let me provide some context on Slide 18. First of all, we steer the business and evaluate performance primarily based on the capital-based framework. Capital generation in the business units enables remittances to the holding, which in turn enable us to return capital to shareholders. The most important component of operating capital generation is the earnings on in-force and this is directly comparable to the IFRS operating results. Having said that, there are major structural differences between the IFRS operating result and the statutory based earnings on in-force, which impact the timing of earnings recognition under the two frameworks. These structural differences resulted in a lower IFRS operating result and an increase on earnings in force in the reporting period compared with the second half of 2022. For instance, net investment-related impacts were more negative on an IFRS basis as current period accretion of interest on liabilities occurs at higher rates on certain blocks compared with that for earnings on in-force. Another example is that the profit emergence of indexed universal life products are very different under the two frameworks. Under statutory accounting rules, profits are up fronted in the first several years. While under IFRS, the profits are smooth equally over the duration of the product. Importantly, management actions can have very different impacts on the two frameworks. For example, the Universal Life Reinsurance transaction that we executed at the half year reduced an anticipated drag on operating capital generation, but is anticipated to reduce future IFRS earnings as the book will no longer contribute to CSM release nor net investment results. Similarly, in variable annuities, we set up a voluntary reserve under the capital-based framework to dampen the sensitivity of our RBC ratio to equity market movements. This reserve only exists under statutory accounting and has no corollary under IFRS. As the book runs off, voluntary reserve is gradually released, benefiting earnings on in-force, but not IFRS earnings. Finally, there were a number of one-off items in the second half of 2022 and mainly related to modeling and methodology updates that partially explain the difference in IFRS operating results this period, and that related exclusively to IFRS 17 accounting. In sum, these frameworks are difficult to harmonize, but the capital-based framework is the primary one that we use to steer the business. Using Slide 19, I want to talk to you about the development of the capital ratios of our main operating units. The U.S. RBC ratio increased to 432% at the end of the year and remains well above the operating level of 400%. Operating capital generation contributed favorably to the ratio more than offset remittances to the whole. Market movements had a 5 percentage point positive impact, mainly from tightening credit spreads and favorable interest rate inputs. Onetime items had an overall negative impact of 10 percentage points over the reporting period. This is a combination of a number of items. Firstly, there is a negative impact relating to the implementation of the remaining management actions that we announced at our Capital Markets Day in June. Secondly, the setup of an affiliated reinsurance entity in Bermuda and the subsequent reinsurance of a block of deferred annuities to it had a negative impact. Third, some smaller onetime items had on balance a negative impact. Finally, these negative drivers were in part offset by the recognition of the statutory equity of two captive insurance companies in available capital. The solvency ratio of Scottish Equitable, our main legal entity in the U.K., increased to 187%. This reflects the regulatory change in the U.K., which lowered the risk margin and thereby increase the available capital. In addition, the positive impact from operating capital generation more than offset the remittances to the holding. These positive factors were in part offset by the annual assumption update and market movements over the period, which both had a slight negative impact on the ratio. I will now turn to Slide 20 for an update on our financial assets. Here, we summarize how we are creating value from our financial assets. The reinsurance of a block of universal life policies with secondary guarantees announced in July, generated $240 million of capital, in line with previous guidance and is being used to further fund the purchase of institutionally owned universal life policies. By 2027, Transamerica aims to have purchased 40% of the $7 billion face amount of institutionally owned universal life contracts that was in force at the end of 2021. We have made steady progress. And as of the end of 2023, we have purchased 23% of the face value of these policies, focusing on older age policies with large base amounts. In long-term care, we have obtained regulatory approvals for additional actuarially justified premium rate increases worth $245 million since the start of the year. This represents 35% of the target that we announced at the Capital Markets Day. Moving to fixed annuities. We have set up an affiliated reinsurance entity in Bermuda, to which we have reinsured a portfolio of fixed deferred annuities. This will enable us to manage the block under a more market consistent framework, thereby reducing capital volatility. In variable annuities, we hedged the targeted risks embedded in our variable annuity guarantees and achieved a 99% hedge effectiveness in the second half of 2023. We have now expanded that program to also include statutory lapse and mortality margins to lower our RBC ratio sensitivities, especially to equity markets. Capital employed in our financial assets decreased to $3.9 billion at the end of 2023. We continue to work diligently toward our goal of reducing the capital employed in our financial assets to around $2.2 billion by the end of 2027. On Slide 21, I will address cash capital at the holding. The free cash flow of EUR425 million over the second half of 2023 reflects the receipt of planned remittances from all our business units. In addition, we received our share of ASRs 2023 interim dividend. Proceeds from the transaction with ASR amounted to EUR2.2 billion. As previously guided, these proceeds are being used to return capital to shareholders. Cash outflows amounted to EUR1.6 billion, of which about EUR800 million relates to the ongoing share buyback program, about EUR300 million to the payment of our interim dividend and about EUR500 million to the redemption of a maturing senior bond. On Slide 22, I want to talk about our progress with respect to achieving our financial commitments. Operating capital generation before holding funding and operating expenses was strong in 2023 to 2023 at EUR1.3 billion and came in above our guidance, supported by solid business growth and favorable onetime items. For 2024, we anticipate higher new business stream driven by the growth of our U.S. strategic assets. Operating capital generation is expected to amount to around EUR1.1 billion, on track to achieve our target of around EUR1.2 billion in 2025. The redemption of a maturing senior bond in the fourth quarter of 2023 has brought our gross financial leverage to -- or EUR5.1 billion, and thus, we have achieved our target of having leverage of around EUR5 billion. Free cash flow amounted to EUR715 million in 2023, above the guidance we provided and include EUR123 million of remittances from our Chinese asset management joint venture. A significant portion of this should be considered as special remittances reflecting performance in prior years. As mentioned during our last Capital Markets Day, we expect free cash flow in 2024 to exceed EUR700 million on the back of sustainable operating capital generation growth. Finally, we are proposing a final dividend of EUR0.16 per common share, which subject to approval of this general meeting of shareholders brings the full year 2023 dividend to EUR0.30 per common share, as previously guided. We remain confident we can grow the dividend to our stated target of EUR0.40 per share over 2025. In summary, we are well on track to achieve our 2025 financial targets. And with that, I now pass it back to you, Lard, for your concluding remarks.
Lard Friese: Yes. Thanks, Matt. Let me wrap up to today's presentation with Slide number24 before we move to Q&A. Aegon is fully engaged fully engaged in this next chapter of its transformation. We are moving forward with our strategy. We have concrete plans and are delivering on the commitments that we have made. Operating capital generation growth was strong in 2023 on the back of profitable business growth in our U.S. strategic assets and management actions previously taken on our financial assets. The operating results declined in part from dimension actions, which benefited capital generation as well as nonrecurring items in 2022. Commercial momentum remains strong in our U.S. strategic assets, the U.K. Workplace business and in our international joint ventures. Macroeconomic conditions remain actors in our U.K. Retail business and Asset Management businesses. The final dividend we proposed will bring the full year 2023 dividend to EUR0.30 per common share, in line with our guidance and on our path to a EUR0.40 dividend per common share in 2025. And finally, I'm turning to Slide 25. We would like to take this opportunity to invite you to attend the webinar on the strategy of our U.K. business set to take place on June 25 of this year. I'm looking forward to your participation at this event. And with that, I would like now to open the call for your questions. [Operator Instructions] Sharon, please [indiscernible] to open the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Andrew Baker from Citi.
Andrew Baker: The first one is just on the operating capital generation. Really how much conservatism is built into the EUR1.1 billion 2024 guidance? [Indiscernible] we've seen a few quarters in a row now of positive one-offs, interest rates are now higher. And my understanding is that all the interest rate benefits were in the 2023 based Q2. So liquidity constraints and also received the S&P's rallied recently as well. So I guess, why should we expect that EUR1.1 billion to be higher in 2024? And then secondly, just on the long-term care risk transfer market. You've seen a period to a back book transaction in December. I appreciate there's mix differences and there were other products involved in that transaction. But do you see this as a positive signal for the wider long-term care risk transfer market going forward?
Lard Friese: Yes. Thanks, Andrew. This is Lard. Let me take that last question and then give it back to Matt on the OCG. It was -- of course, we've taken good note of the transaction you're referring to in the U.S. But these transactions are all unique in their own nature with their own details. So while it's an interesting signal and we're watching the space very carefully, I cannot really comment on the -- on that in a broader sense. When it comes to the OCG, Matt, over to you.
Matt Rider: Yes. Let me take you through a bit of the puts and takes, at least for the second half of the year. So what we reported was EUR306 million of OCG from the business units, and this was a beat relative to the analyst consensus. The main driver of this was some basically onetime benefits that we got from International. The results in the U.S. were actually pretty clean with some unfavorable mortality experience basically offset by other items, morbidity and favorable operating items. But in general, the U.S. was pretty clean. So if you think about -- you're coming to about a clean number of about, let's call it, EUR275 million for the quarter times 4, that gets you to about EUR1.1 billion, and that's effectively what our guidance is. There are a couple of pluses and minuses going into 2024, though. The first is that we do have some tailwinds. The equity markets ended up pretty high at the end of the year, and we generally do better on OCG with higher asset bases and the like. But the key thing here is that we would expect to see some additional new business stream over and above what we saw in 2023 and that kind of brings you back into that EUR1.1 billion range. I would say it's really the increase in the new business stream that's really driving the EUR1.1 billion forecast.
Operator: And your next question comes from the line of David Barma of Bank of America.
David Barma: The first one is on remittances for the U.S. specifically. Could you please remind us what the trajectory is in terms of cash remittances there? I know you have a dollar amount target, but in the strong capital position and the sensitivities keep coming down. Is there any reason for you not to be able to remit more than the around 65%, 70% conversion of capital generation that you have currently? And then secondly, on retirement plans. So you've had good growth in your assets under management there over ‘23 and especially on the middle market segment. But the earnings distribution you show on Slide 5 has gone down. So could you remind us what the main building blocks are to get to the into EUR100 million target for 2025?
Lard Friese: Thank you, David. Matt?
Matt Rider: Yes. So on the remittances back at the Capital Markets Day we did just this past June, we said that we would try to grow the U.S. remittances in a sort of a mid-single digits kind of a range. And we would not expect to vary off of that. We did -- I think we took $550 million in remittances in 2023. So mid-single digits on top of that, that's what we would be expecting in 2024. I think the key thing here is that we really won our business units and obviously, including the U.S. to have enough capital to be able to invest for growth. And that's the big deal. They have a big transformation that they need to fund and we do expect higher new business stream going into next year. So at this moment in time, we would not expect to take out any additional remittances, let it sit there. They have plenty of uses for it that we're actually very, very happy to be able to achieve. On the Retirement Plans business, indeed, the operating result is down a bit. The building blocks are really the amount of money that we take off of record-keeping fees plus ancillary benefits plus other bits and, for example, general accounts stable value. We have seen some outflows overall in the Retirement Plans business. Our aim is actually to keep the AUM pretty stable over the planned projection period and really make up in the margin difference with these ancillary benefits. So those are the building blocks, but you can call Investor Relations for additional detail on that.
David Barma: Just one follow-up on your first question to Andrew on the interest rate benefit in '24 in OCG. How much do you expect from that? Do you still have funding headwinds? Or do you get the full benefit of your reinvestment...
Matt Rider: I would say in the near term, we're not going to see much of an impact from interest rate movements. I mean, the big thing for us in all frankly, all insurance companies over the last 1 year, 1.5 years has been more the volatility in interest rates and having to manage liquidity around that. So in the short term, we have pluses and minuses. So on the plus side, we're making more on, for example, cash balances in the U.K. business, cash amounts that are sitting on the platform there. We're making more on cash balances generally in the holding and you see that in our holding and funding expenses. But we have increased funding costs that we would be expecting in the U.S. business and at the holding over time. So there are a bunch of puts and takes for the, let's say, for the near term. But fundamentally, longer term, and we see this in our very long-term projections, cash flow testing forecasts and the like. The up interest rate environment having come off the bottoms in 2021, are actually very, very helpful for us moving forward.
Operator: We'll now go to the next question. And your next question comes from the line of Nasib Ahmed from UBS.
Nasib Ahmed: First one on the holding company cash. I mean, it's pretty strong, but you've got a bit of the share buyback to go. And I think you've indicated you want to trend down towards the midpoint of the target range. So that gives me more than EUR1 billion of excess, if I kind of roll it forward. What are your uses of this excess cash that's sitting at the holding company? That's question number one. And then the second one is on the Bermuda Reinsurance entity. Could you bundle up some of your liabilities, put it in the reinsurance entity and go for a third-party solution? Would that be more attractive than doing it one by one? I'm just thinking if that's part of the plan because the fixed annuity reinsurance really release a lot of capital. So just thinking about that entity going forward, what's the plan for that?
Lard Friese: Yes, Nasib, thank you very much. I'll take the first one, and I'm going to ask you, Matt, to do the second one. Yes. So first of all, we're in the market completing -- working hard to complete the EUR1.5 billion buyback that we have ongoing. And as we shared in the call, we still have roughly 24%, 25% to go. So first, we're concentrating on that. And so this means also that we will be buying back a substantial amount of trading volume in our own shares. As you know, we have a clear capital management framework and that has been consistent throughout the years. Should there be surplus cash capital above and beyond what we need to execute on the transformation as a company, we cannot invest in value-creating opportunities, then we will return it to shareholders in the most efficient form. That's been a consistent approach that we have and we're not changing that.
Matt Rider: Yes, let me pick up the review to reinsure piece. So indeed, we saw this reinsurance entity in Bermuda. We reinsured the block of fixed deferred annuities to about $4.6 billion. But the reason why we do that is to align the, let's say, the capital framework for fixed deferred annuities with our economic view of the risk. So moving these liabilities for Bermuda and the separate entity has allowed us to do this. And as you said in your question, this does not release a lot of capital, but what it does do is that reduces potential capital volatility down the road. That's part of -- one of the things that we're trying to achieve as part of the management of these financial assets. I think you would agree that we've been pretty successful so far. We've been executing management actions to be able to do this. There will be further management actions. There's no question about it. We always say that we anticipate taking other unilateral and bilateral management actions and really establishing the Bermuda entity gives us a little bit more flexibility, but we're not in any way talking about announcing anything right now, but it does give us some flexibility to execute on management actions, just as we have done that in the past.
Operator: Thank you. We'll move to the next question. And your next question comes from the line of Farquhar Murray from Autonomous.
Farquhar Murray: Just two questions, if I may. Starting with the commercial side. I just wondered if you had a target for agent recruitment of WFG this year on your path to 110,000. I presume actually something that similar is kind of needed this year again. And then more generally, how much do you expect new business strain to increase this year? And is that partly driven by that? And then the second question might be a bit more involved. That's actually just turning to IFRS 17 operating results. I just wondered if you could maybe walk us through to a sensible run rate there. I presume the bridges take the kind of claims and policyholder experience part of the expense variance maybe fade down the holding that I think I would be annualizing in about maybe EUR1.6 billion, EUR1.7 billion per annum. But obviously I would appreciate your views on that.
Lard Friese: Yes. Targets. So on the path to the 110,000, yes, we have internal targets, obviously. But we are at the slope that we -- I think if you look at a longer period than just the period that we disclosed today, so I think you need to get to a formal presentation that we did. You will see that we are on the slope to get to 110,000 by 2027 and by 90,000 by 2025. So that's what we're tracking towards and we're well in the slope to get there. So 90,000 for 2025. And then two years later, we indicated 110,000. We're right now at the end of the year at 74,000. And if you then go back, you can see that we're -- the slope that we're on is actually pretty well on track, I would say. With that, Matt, the question on IFRS.
Matt Rider: Well, first, let's do the new business stream. So maybe just as an idea. We did -- I think it was about 6 to 24 something like that in the full year in the U.S. for new business strain. I think you could think about something like a EUR700 million roundly as a pretty decent guidance. With respect to the IFRS operating result guidance. Yes, we would expect that a lot of those experience variances are going to be trending to 0 over time. I would say something in the area of maybe EUR700 million to EUR800 million for a half year basis, so maybe a little bit lower than the number that you came up with on an annualized basis. But the one thing that we tend to think about is we're coming out of COVID, so is there going to be some continuing short-term mortality fluctuations. So we kind of have some of that built in there. But that's the way that we're thinking about a run rate based on the second half results.
Farquhar Murray: Okay. That's extremely helpful. Just as a follow-on on that, I mean, is there a time frame to which you kind of expect that mortality element to drop out? And similarly, is there -- what's the dynamic behind the onerous contracts component as well?
Matt Rider: The onerous contracts, there's a number of things that are going on in the onerous contract component, and that's just a geography thing between how you split up the experience variances between the income statement basically CSM. So I hope you're listening carefully in the -- when I did my little readout here, many of the experience variances that you're seeing are actually offset in the CSM. So you also have to look at the CSM development. As for how long we would expect to see us come out of it on the mortality side of COVID, I don't know. These are expert judgment kind of things. But the most important point that I would make here is that our goal is to get those experience variances so that they average out at 0 and we get pluses and minuses. If we have long-term -- longer-term deviations, then that we can potentially do small model updates or assumption up to date. But we're always going to be tweaking the assumptions to try to get back to that mean of 0. But for right now, they seem to be more or less in line with our expectations. We see the big benefits coming through in CSM. We'll do our normal assumption update in the second quarter of next year for the U.S. business. So we'll see what that comes. But a lot of this really that coming out of the COVID environment is really is an expert judgment, and I could ask actuaries on what they think it is, and I would get 6 different opinions, including mine, by the way.
Operator: Thank you. We will now move to the next question. And your next question comes from the line of Ashik Musaddi from Morgan Stanley.
Ashik Musaddi: Just a couple of questions I have is, first of all, I mean, if I look at the flows momentum, especially in second half versus first half, it appears to be drifting down in most business lines, I mean, such as Retirement Plans, it was quite low, U.K. Workplace, Retail Asset Management. I mean, whenever I look at the flows momentum, net flows, net deposits was quite different. So any color on that you can give is it seasonality or just like second half macro last year. Or put it like this, I mean, can we get some color of what's -- what are you seeing year-to-date because macro has recovered, et cetera so as things got better again. So that's the first one. And secondly, I see that there's a big assumption change benefit in the CSM release because of changes in future life operating model. Can we get some color on what assumptions you're using for this changes in life operating model? And what drove that in second half instead of that happening in first half? Because I believe that you were already there with the plans in first half last year. So any color on that would be helpful.
Lard Friese: Yes, Ashik, thanks for your question. I'll take the first one, and then Matt will go on the essential take benefits. So on the flows, we've got to do this line by line, Ashik, or [indiscernible], if you don't mind. So first, the Workplace Solutions business in the U.S. As we have announced at the Capital Markets Day, we are focused on the mid-market plans. So in that sense, we're quite focused in a particular market segment where we believe we have -- it's more attractive to us in terms of margins and also where we believe we have unique capabilities that can help us grow the business. And in fact, if you look at the new sales, it's 72% higher than the year before. And the -- we are the top player in that new sales. So that's number one. Number two, in that area, we have positive flows, EUR1.2 billion for the year. So in the target segment that we are really focused on, we're seeing actually the momentum is very good. Now why did we do that? There's one thing, by the way, to mention. The other thing to measure is the ancillary products that we are able to sell to improve the margins. So you may recall why that is important because at the Capital Markets Day, we outlined that the margin per participant, which we were able to, I think, which in 2020 and '22 to double. That's driving, let's say, the sales of general accounts stable value, the other ancillary sales like individual retirement accounts, et cetera, in these big market plans that will drive the profitability overall up. So I would say that strategy is really taking hold and coming through in the numbers. Now it's offset by outflows. And you've seen outflows of some large cases, the profitability and the margins of these large cases as much is really much, much reduced versus sort of profitability, the loss cases that you're losing is the outflows is much worse than the profitability of the mid plans, mid-market plans. So we're replacing basically with that new sales, higher margin business, and that is what we aim to do. So in that sense, we see our strategy taking hold. Now then some color on the U.K. Workplace business. Quite frankly, U.K. Workplace business is doing well. Commercial momentum is there. You can see that for a number of quarters. Deposit base are positive on the U.K. Workplace. Now what happened in the second half of the year is that there was one case that we knew was going to pull out, we lost a client. [Indiscernible] point, it's being executed. And see that then in your outflows, but the net flows are still positive. And it would have been EUR2.7 billion, and therefore, up if you would correct for that one a client. So frankly, we're powering on nicely with the Workplace business and we aim to grow that business, of course, in the U.K. Then on Asset Management flows. That's a tale of two halves. So -- and also, let's give you a bit of color, Ashik. So on the Global Platforms business, which is what we wholly own, we noticed through all the interest rates up and the volatility around that, there were net outflows for the first half of the year. Second half of the year was a different story. It was hardly any outflows. And actually, we've got more inflows if you include the general account. So in that sense, the picture is changing in the second half of the year in that flow profile. Now if you look at La Banque Postale, especially the Chinese joint venture, that joint venture is we're very well positioned in China, as you know, because over the last years, you have seen that driving a lot of positive flows and a lot of positive momentum. This year, in 2023, our Chinese business in Asset Management has suffered from a negative local market sentiment and that you see in negative flows. But that business is very well positioned at the moment that sentiment turns in China that they will -- I expect I'm actually quite constructive on the outlook of that. So that's kind of color that I'd like to give is on this, Ashik. And with that -- I hope that helps a little bit. [Indiscernible], Matt, can you do the other question?
Matt Rider: Yes. On the expense assumption update, and in particular, the life operating model, indeed, we knew the -- so back when we did the Capital Markets Day, we had, had it all figured out kind of what our plan was to implement that improvement and what it would bring over the future. But what we did at the same time, as we said, let's change our cadence of doing the expense assumption update in the U.S. Previously, it had been done in the second quarter. Now we do it in the fourth quarter exclusively so that we can take advantage of our normal budgeting process. So there are really two things going on. Yes, the life operating model. We did what we intended to do, but also we did a pretty big activity-based costing study during the course of the fourth quarter, where you see expenses -- obviously, the lower expenses per policy reflected in -- on the strategic asset side of CSM thing that you see on page -- on Slide 16 of the deck. So there's elements of that, but also there was more expense allocated to the financial assets, and you see the negative impact the CSM on that side of it. In addition, there has been some more expenses allocated to Noninsurance businesses, which will roll through on an as-incurred basis. But the whole rationale is really to leverage on our budgeting process in the fourth quarter and we will continue to do that in the future.
Operator: We will now take the next question. And your next question comes from the line of Henry Heathfield from Morningstar. Please go ahead.
Henry Heathfield: Just two from me, please. On Slide 5, just the lower earnings on in-force from higher expenses. Those expenses being related to, I think, investments in information technology and employees. It sounds like you're looking to kind of continue to grow that U.S. Retirement Plans business even further. I was wondering if you could just talk a little bit about that, so I can get a bit more color on those higher expenses. And then the second question is really great to see that you're hitting your financial targets. But I was just wondering if you could talk about -- I mean, I think it goes back to a question earlier about the volatility you have accounting earnings and the time frame that we might get to lower volatility within these, we have kind of a new accounting regime that should match the two kind of economic earnings and accounting earnings and it seems that there's still a lot of volatility. So I was wondering if we might get some color on kind of time frame of smooth earnings projection.
Matt Rider: So on the lower earnings, [indiscernible], I think in the notes, we talked about higher employee expenses and higher technology expenses. Technology expenses or improvements that we're making in the customer and frankly, the employee employer sponsor proposition. The expense -- the employee expenses is a pretty simple one. The business performed very well during the course of the year. We did have an increase in incentive compensation accruals that went through those folks. With respect to the volatility of accounting earnings and when that could get a timer. I want to be very clear on this. So the first part is on the operating result we will see, over time, let's say, a convergence of those experience variances, hopefully to zero. How long will that take? You'll never hit it exactly, but we want to get it into a place where we're more pluses and minuses. And it's not going to take 5 years to get there. It will just -- you'll be able to see it in our published results every half year. So we'll get there in pretty short order. But the more important thing, and I really want to emphasize this, is that under IFRS 17, the operating result does not tell the entire summary. You really, really have to look at the development of shareholders' equity, and you have to look at that CSM development. So like we said in the slides that the shareholders' equity before for the distributions to shareholders increase $0.04 over the period despite the zero net income. So there's a good guide that's coming through the balance sheet through other comprehensive income. And that's kind of the number that you really want to focus yourself in on. In addition to the CSM development and the CSM development was pretty amazing, so that, that thing increased, I think, if you do it on a share -- per share basis increased 9% over the course of the half year. So we really have to look at the things in conjunction. It's really the entire balance sheet together with the movement in the CSM and that gives you the sort of the full IFRS 17 picture.
Operator: Thank you. We will now take our final question for today. And your final question for today comes from the line of Steven Haywood from HSBC.
Steven Haywood: Can I follow up on the previous question, and you talked about obviously focusing on shareholders' equity and CSM. So going forward, are you trying to say that for the most consistent approach looking at the company going forward, we should look at a sort of comprehensive equity per share development over time. This kind of goes against the fact that, obviously, a lot of your CSM business is running off and you're taking on board more fee-based IFRS 9-type business, I guess. Can you sort of discuss around this? And then secondly, within your original guidance for OCG, the CMD, you said that obviously new business strain is increasing going forward. So I wonder whether the increase in the new business strain has changed at all in your updated guidance analysis is the same? And is there anything else that's changed in your updated -- and then finally, just on the debt leverage side of things quickly on you expect further changes to your debt leverage going forward? Obviously, you have quite a few floating rates out there. Would you look to convert them across the fixed?
Lard Friese: Thanks, Steven. Matt?
Matt Rider: Very happy that you asked that question, in fact, because when we look at shareholders' equity and the development of it, you really -- a lot of it is taking into account the insurance books of business, the insurance book of business, but we have other businesses that are not insurance-based and don't have much of an impact on shareholders' equity. So we have WFG that made like EUR160 million pretax this year. We have the Asset Management business. We have the elements of the Retirement Plans business in the U.S. that is not insurance based. We have a lot of the U.K. platform business. So that's a valuation question. You're going to have to evaluate that. But in general, that shareholders' equity, the movement in the shareholders' equity is important. But it's not a question if you can translate our share price into x book percent of book value per share. There are many other things that are coming in there, and we would hope to improve our disclosure starting next year or this year rather, to be able to highlight some of those businesses better, but that are noninsurance businesses. So that's a Q1. On the CMD guidance, I talked before, we're looking at something like EUR700 million round numbers, new business strain for 2024 in the U.S. That's the number that was effectively communicated at the Capital Markets Day back in June. So we're not changing that one at all. With respect to the leverage, so we're sitting at EUR5.1 billion after having gotten rid of the EUR500 million senior in December. But we did announce in the press release that we are going to be calling the EUR700 million Tier 2 security in April of this year, which we will refinance, but we can't talk much about how we're going to refinance or what we're going to do there. So the point is here that we're always going to be making economic moves in that stack to take into account the, let's say, the interest of shareholders, the interest of bondholders and the economic environment. So we'll make at tweaks along the... But I guess the more of the story here is that in the main -- our deleveraging is pretty much complete now. We got it down to about EUR5.1 billion. That's good. And we'll tweak along the way, but nothing significant.
Operator: Thank you. We have no further questions. I would like to hand the call back over to Yves Cormier for closing remarks.
Yves Cormier: Thank you, operator. This concludes today's Q&A session. On behalf of Lard and Matt, I want to thank you for your attention. Should you have any remaining questions, please do get in touch with us in Investor Relations. Thanks again, and have a good day.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.